Operator: Good morning ladies and gentlemen and thank you for standing by. Welcome to the Algonquin Power & Utilities Corp Q4 and Year-End 2014 Analyst Investor Call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session with instructions provided. [Operator Instructions]. As a reminder, this conference is being recorded. At this time, I would like to turn the presentation over to Mr. David Bronicheski, Chief Financial Officer. Please go ahead sir.
David Bronicheski: Thank you. Good morning, everyone. Before we begin the discussion on our fourth quarter and year-end results I’d like to make a few brief opening remarks. Shortly before the previously scheduled release of our 2014 financial results APUC became aware of certain anonymous, unproven allegations regarding certain APUC personnel. APUC shared the allegations with its auditors and delayed releasing its financial results in order to consider together with the auditors, were they certain of the allegations which related to APUC's financial reporting and related practices could impact its financial results. This assessment which was led by a committee of Independent Directors with the assistance of Independent Legal and Accounting Advisors is now complete and APUC will be and is releasing its financial results having determined that the allegations did not impact the financial results. The committee’s investigation into allegations which are not related to APUCs financial reporting and related practices is continuing to be dealt with in a confidential manner in accordance with APUCs complaint handling policies. With that, I’ll turn things over now to Chris and Ian to begin the discussion on what we believe are very good, strong Q4 and year-end results.
Christopher Jarratt: Okay, thanks David. Good morning, everyone and thanks for joining us on our 2014 fourth quarter and year-end conference call. With me on the call today are Ian Robertson, our Chief Executive Officer; David Bronicheski, you just heard from our Chief Financial Officer; and Kelly Castledine our Director of Investor Relations. For your reference, additional information on the results is available for download from our website at algonquinpower.com. I would like to note that on this call we will provide information that relates to future events and expected financial positions that should be considered forward-looking. Kelly will provide additional details at the end of the call and I direct you to review our full disclosure on our forward-looking information and non-GAAP financial measures in our results published this morning which are also available on our website. This morning, Ian, will discuss the highlights of the quarter and the year and David will follow with a review of the financial results. And then we will open up the lines for questions. I would ask that you restrict your questions to two and then re-queue if you have additional questions to allow others to participate. Before I turn the call over to Ian I’d like to point out that this week is March break in Ontario and Ian is on vacation dialing in from a fairly remote location. And we hope technology cooperates but I think sounds a little bit choppy just wanted to explain why. And with that, I will pass it over to Ian on vacation.
Ian Robertson: Well not really technically on vacation, Chris but I appreciate that. Good morning, everyone. And before we dive into what we view are our strong 2014 and Q4 results I do want to add my thoughts to David’s comments regarding the delay in our recent financial statement release. I believe that the confidence of the capital markets is equally important as delivering solid results and I had hoped that the conclusion of the past few days inspires trust in our shareholders regarding the governance processes and practices that we’ve worked hard to implement. We trust that your enthusiasm and confidence like ours for the Algonquin story remains as strong as ever. With that lets turn our attention to the 2014 performance, and in that regard I’d like to position it against three significant strategic objectives that we set for ourselves. First and foremost, it’s our objective to conduct our operations in an environmentally sound and safe manner and we are proud that our 2014 safety record continues to surpass industry averages and challenges world class performance. Second, we are committed to delivering attractive shareholder value consistent with our vision of being a must owned investment holding in a portfolio of every long minded investor. We are pleased with the 2014 total shareholder return of 37%, 2014 EBITDA reached an all time high of $290 plus million an increase of over 30% from 2013. And third, per share accretive earnings and cash flow growth is in our DNA. We believe that this is the path to continue dividend growth and capital appreciation, adjusted 2014 EPS of $0.37 showed a close to 40% increase over 2013 and cash flow per share grew too close to $1. To provide a clear path for sustained growth in the coming years we are pleased to have successfully completed our $430 million 2014 CAPEX program including construction and acquisition of our 200 mega watts of new wind and solar generating capacity and investment of close to $200 million in acquisition or organic growth for our regulated distribution utilities. For future growth in 2014, we announced commitments to investments representing over $1 billion of new generation distribution transition projects and we are confident that these pipeline investments will continue to deliver accretive growth in earnings and cash flows. We believe that these 2014 accomplishments confirm the organization to deliver growing earnings, cash flows, and dividends for our shareholders in the safe, ethical, and low risk manner. And lastly before I turn things over to David to speak specifically to the financials, I would like to spend a minute or so on the Q4 results in the context of our three line of business groups; Generation, Distribution, and the most recently added Transmission a business group that figuratively connects our generation and Distribution Groups making APUC a diversified company across the utility continuum. Starting with the Generation Group, good Q4 operating performance was driven by a return to average wind resources, strong hydroelectric generation, and the first phase of our 24 megawatt send to mass wind facility in Quebec risking commercial operation in early December. Consistent with our commitment to growth in our solar generation portfolio, in November the Generation Group announced plans to proceed with another 10 mega watt solar facility in Bakersfield, California. This $27 million project will sell its energy pursuant to a 20 year power purchase agreement with the large California based electric utility after its commissioning in 2016. For the distribution business group, higher customer accounts from the tuck in acquisitions completed earlier in the year, continued organic growth in customers, increased commodity demand, reasonable rate case settlements, and a stronger U.S. dollar all factors which contributed to consistent Q4 results. Lastly Q4 saw APUC create its transmission business group to pursue electric and natural gas transmission opportunities. As announced at our November 2014 investor morning, the Transmission Group has entered into an agreement with Kinder Morgan, a global pipeline developer to jointly develop, own, and operate the Northeast energy direct pipeline, a pipeline with capacity scalable from 800,000 [indiscernible] a day up to 2.2 billion cubic feet per day depending on final customer commitments. Subject to receiving sufficient commitments for capacity as well as regulatory approval, this up to $4 billion project is expected to begin service in November 2018 and under the terms of the agreement that Liberty Utilities has negotiated with Kinder Morgan, we have the option of owning up to 10% interest in the project. As always our continued success is a result of the dedication and commitment of our employees across the generation and transmission and distribution businesses. And with that, I’ll turn things over to David to speak to the Q4 and year-end financial results.
David Bronicheski: Thanks Ian and once again good morning everyone. Overall our adjusted EBITDA in the fourth quarter was a strong 84.3 million and that’s a 23% increase over the amount reported in the same quarter a year ago primarily due to our completed acquisitions in 2013, the impact of rate case settlements in our distribution business, and increased hydrology. Overall adjusted EBITDA for the entire year was 291 million, a 27% increase over 2013, and the increase again was primarily due to acquisitions completed in 2013 and 2014, the impact of rate case settlements, increased customer demand in our gas distribution, and increases in renewable energy credits. In all just a couple of highlights for the three months and year ended. For the three months ended December 31, 2014 we have revenue of $259.3 million and that’s a significant increase from the $205.3 million that we recorded a year ago in Q4. And adjusted EBITDA as I mentioned 84.3 compared to 68.5 a year ago. For the year we had revenue of an impressive $943.6 million and adjusted EBITDA of $290.6 million. Before I get into more detail on our operating segments, just a couple of short words on our new business segments. In the fourth quarter of 2014, for those that attended our Investor Day here should be aware that we were making minor changes really to simplify our business segments in reporting and align them with our management structure. First, we announced the creation of the transmission business group to pursue transmission opportunities here in Canada and the U.S. We also combined all of our utilities into a single distribution business group, and our independent power generation business into a generation business group. And now I will get into a bit more detail on our operating subsidiaries results beginning first with the Generation Group. For renewable energy during the fourth quarter of 2014, the Generation Group's hydro and wind facilities generated electricity equal to 98.4% of long-term projected average resources which is higher than the 93.4% that we generated a year ago. And this was primarily due to better hydrology in Ontario and Western regions, and increased wind resources at U.S. and Canadian wind facilities. Also I’ll note that the solar facility in Cornwall completed its third full quarter of operations as well. For the fourth quarter of 2014, total net revenue which includes net energy sales and revenue from renewable energy credits totaled 47.1 million as compared to 39.7 million in the same period in 2013. For the year, total net revenue included net energy sales revenue from renewable energy credits of 159.7 million as compared to 144.4 million in 2013. And the operating profit on our renewable energy division was 45.4 million compared to 35.8 million a year ago. In our thermal energy division in the fourth quarter, the Generation Group’s thermal energy division reported operating profit of 2.4 million down slightly from the 2.7 million same period a year ago. Moving over to our Distribution Group in the fourth quarter, the Distribution Group reported an operating profit of 40.7 million compared to 32.5 million in the same quarter as a year ago and those figures are in U.S. dollars. The increase in operating profit is primarily due to the implementation of higher rates at our Granite State Electric distribution utility and our Peach State Gas Systems in Georgia, as well as the acquisition of New England Gas which occurred basically at the end of 2013. Moving over to the Distribution Groups electricity division, during the fourth quarter net electric utility sales totaled U.S. $17.9 million compared to $16.7 million a year ago. And for the year, net utility electricity sales totaled 78 million compared to 66.8 million in 2013. As far as our natural gas division goes, in the fourth quarter net utility natural gas sales and distribution revenue was U.S. $36.9 million compared to U.S. $29.4 million from the same period a year ago with the increase largely attributable to the acquisition of the New England Gas System in December of 2013. For the year 2014, net utility natural gas sales and distribution revenue was $143.4 million compared to U.S. $91.5 million in 2013 and again the increase primarily due to the acquisition of New England Gas, we did experience colder temperatures during the first quarter of 2014 and we had a full year of revenue from our Peach State Gas system in Georgia. Moving over to the water division in the fourth quarter of 2014 revenue from water distribution and waste water treatment totaled U.S. $15 million compared to $14 million a year ago and for the year we had revenues of $58.7 million compared to $55.6 million in 2013. Now before I turn things back over to Ian just a quick update on our fourth quarter financing activities. As everyone knows on December 11, 2014 APUC completed a public offering of roughly 10.1 million in common shares at 9.95 to gross proceeds of approximately $100 million. This financing advanced our previously planned 2015 equity offering and completed our equity financing plans for this year. Concurrent with the December offering, APUC and Emera entered into a subscription agreement pursuant to which Emera agreed to subscribe for an aggregate of approximately 3.3 million subscription receipts of APUC at $9.95 for a total subscription price of $33 million. The proceeds are intended to be used to partially finance our previously announced acquisition of Park Water. Finally I’d like to touch on our recent announcement regarding CRAs letter proposing to reassess our 2009 through 2013 income tax filings in relation to the corporate conversion and unit exchange transaction back in 2009. The CRA indicated in their proposal letter that they intend to challenge the tax consequences of the unit exchange. Should we receive a notice of reassessment covering the 2009 to 2013 taxation years, a deposit payment of 50% of the tax liability claimed by the CRA would be required in order to appeal the expected reassessment. This amounts to about $20.6 million. We remain highly confident in the appropriateness of our tax filings and the expected tax consequences from the unit exchange transaction and we attempt to vigorously defend our position. APUC strongly believes that the acquisition of control or the general anti-avoidance rules do not apply to the unit exchange transaction and we attempt to file our future tax returns on this basis. With that I’ll now turn things back over to Ian.
Ian Robertson: Thanks David, and just before we open the lines up for questions, I would like as always to provide an update on our additional growth and development initiatives. Within the Generation Group construction is completed. APUCs second solar generating station in Bakersfield, California, the project is now delivering energy into the CAL ISO with final paper work being exchanged with regards to the clearing COD under the 20 year power purchase agreement. In August of last year we entered into a definitive partnership agreement with a third party tax investor who is investing U.S. $22 million towards the U.S. $58 million capital cost of the project in return for the majority of the tax attributes associated with the project. Construction of that 24 mega watt wind power generating station in Morse Saskatchewan is nearing completion with all but two of the turbines erected. It is anticipated that the commercial operations will be declared by the end of this quarter 2015. Switching over to the Distribution Group, a U.S. $7.4 million temporary rate increase went into effect in December of last year at our Energy North Gas Utility. This interim increase is provided as part of the $16.1 million rate increase which Energy North is currently seeking. And when the rate request is finally resolved in 2015, the new rates will be retroactive to the date of the granting of the interim rate increase in December last year. Subsequent to the end of 2014, U.S. $13.2 million in rate increases have been implemented across the Peach State, Missouri and Illinois Gas Systems and additionally another U.S. $2.5 million rate increase is being sought for Pine Bluff Arkansas with resolutions expected in Q2 of 2015. And lastly with regard to the Park Water acquisition announced late last year, approval of both the California Public Utilities Commission and the Montana Public Service Commission are required and approval application was filed in November of 2014 in both states with seeking approval to acquire the two water utilities in California owned by Park Water and in Montana for the Mountain Water Company owned in Montana. We expect a decision in the third quarter of 2015 in both of those regulatory application processes. And to sum up, just before we go to questions I will say that APUC remains focused on our growth pipeline which includes plans for well in excess of $1 billion in capital deployment over the next few years. We are committed through continued long-term accretive growth in the business which underpins further capital appreciation and further dividend growth. And our continued investment in long-term portfolio asset we believe will continue to deliver value for our shareholders. And with that, given my remote location, I am going to turn things over to Chris and David who are holding down the fort back in Oakfield to chair the question-and-answer session. Chris?
Christopher Jarratt: Thanks everybody. So we’ll now open things up for questions. Operator?
Operator: Thank you, ladies and gentlemen your first question today will come from Paul Lechem with CIBC. Please go ahead.
Paul Lechem : Well, thank you, good morning.
David Bronicheski: Good morning Paul.
Paul Lechem : Good morning David, wondering if you can state whether the internal investigation that you carried out cause any changes at all to the financial statements or the notes to the statements from when you initially were scheduled to release them?
David Bronicheski: We didn’t make any changes to our financial results as a result.
Paul Lechem : Fair enough, understanding that the internal investigation which is ongoing is confidential, but can you give us any sense of a timeline where we might get a result from that investigation.
David Bronicheski: Well the Board’s independent committee is committed to resolving and looking into these remaining allegations on an expedited basis.
Paul Lechem : Okay and can you give a sense in terms of how widespread the investigation is. Is it against one individual, multiple individuals is there anything you can say along those lines just in not giving out names, I’ll just leave it in terms of what is underway here?
David Bronicheski: Well I think what I can add is the allegations that are remaining to be investigated, that are not related to our financial reporting and related practices is around the workplace and its environment and it’s not aspect of the investigation that we will continue.
Paul Lechem : Okay, if I can just get one on one operational question in, there have been a number of changes in the in service dates to your wind facilities Chaplin seems to have moved out a bit, Amherst Odell, Val Eo, can you talk a little bit about what’s going on to those if that was something where you just on year end reviewed and came up with revised numbers or is this something that has been going on for a while, what can you say about those?
Ian Robertson: Paul, its Ian Robertson speaking.
Paul Lechem : Hi.
Ian Robertson: Good day. I don’t think there is sort of anything semantic that you can infer from sort of continued refinement of those dates. You can imagine for something like Chaplin there is ongoing discussions and I won’t say negotiations but ongoing discussions with SaskPower regarding the upgrades that they have to make to their system. We have been working on final turbine selection which has actually been helpful to the overall project economics. And so -- but in each of the instances that you mentioned, it’s kind of individual project development issues which have slightly delayed the in service dates on all those projects. I do want to touch a little bit on the Odell project because I think everybody had a heightened sense of the impact of a potential delay in the COD given the qualifications of that project for production tax credit. And I think everybody is pleased with the announcement that got made relatively recently by the U.S. treasury which sort of confirms that we really basically have until January 1, 2017 to get all these projects or at least projects such as Odell into commercial operation for it to continue to qualify for PTCs. And so while in the case of Odell it came -- it’s a turbine supply issue which has delayed the COD for a number of weeks. We are confident that there is practically no economic impact to us of such delay. So I don’t know if that’s helpful Paul, but as I said you shouldn’t infer anything semantic about the continuing delay in projects. It is just the nature of the beast.
Paul Lechem : Okay, that’s helpful. Thanks Ian.
Ian Robertson: Thanks Paul.
Operator: Thank you. Your next question will come from Nelson Ng with RBC Capital Markets. Please go ahead.
Nelson Ng: Great, thanks. Good morning everyone.
David Bronicheski: Good morning Nelson.
Nelson Ng: Just a quick question on the allegations, you mentioned that they don’t have any impact on the financial reporting items. So I just want to kind of make sure, so the investigations on the financial reporting items those are completely -- those are completed and closed off and we won’t see -- you won’t revisit like those allegations and we won’t see any impacts going into 2015 either right?
David Bronicheski: Absolutely 100% correct.
Nelson Ng: Okay, great. And then just one question on wind, I think when I asked last time about the Courtenay wind development, I think Ian mentioned that you guys adjusted resources to other projects due to the time constraints with the I guess one year extension of the PTC program, does that mean the Courtenay project is under development again or what’s the update there?
Ian Robertson: Nelson, its Ian hopefully you can hear me. The short answer is we see that one year extension not only obviously in the qualification but the treasuries, extension of the start of construction deadline as being very positive for things like Courtenay. And in fact actually a number of other projects and so I think as we think about our 2016 now pipeline, I’d argue its kind of full steam ahead to in the Development Group to try to pull some of those projects that might have been challenged given a 2015 deadline back on to the burner if that's -- from our perspective. So the short answer is yes, it’s all speed ahead in terms of getting a 2016 pipeline of PTC qualified projects ready.
Nelson Ng: I see, so you are looking at a number of wind projects that have "started construction" by the end of 2014?
Ian Robertson: Absolutely.
Nelson Ng: Okay, great. Those are my questions, I’ll get back into the queue.
David Bronicheski: Thanks Nelson.
Operator: Thank you. Your next question will come from Sean Steuart with TD Securities. Please go ahead.
David Bronicheski: Good morning Sean.
Sean Steuart: Couple of questions, with respect to Park Water, can you give any update on the condemnation proceeding with Missoula, timing there, I guess relative to your expected closing of that acquisition?
Ian Robertson: Sure Sean, hopefully again the technology is cooperating, you can hear me. I think you need to look at the acquisition of Park Water pursuant to the Montana approvals as a synchronist if you will to the -- and unconnected to the condemnation. The condemnation as a process is always available to cities in the U.S., there is clearly a process that cities who decide that their aspirations are best achieved by buying distribution utilities within their service territory that’s always open to them. And obviously as you are well aware, the city of Missoula has decided that they would really like to own a Mountain Water in the State of Montana. We obviously are of I would say mixed minds of it. Well we certainly don’t want to stand in the way of a city achieving its aspirations on behalf of the rate pairs. I think we actually believe it’s not in the best interest of the rate pairs and I think there is a lots of examples where these resources are best devoted and deployed on managing the other social obligations or societal obligations that the town has. But having said, that’s up to the city for all this to conclude. In terms of the process, the condemnation process, it’s been underway for a little while now. In relatively short order there is a hearing that will commence that we are sort of in some respect bystanders too, because it’s a determination that needs to be made as to whether the condemnation by the city for Mountain Water is more necessary than not. We have obviously been providing evidence of the credibility of the utilities in order to operate or water utilities. That process you don’t really know how it’s going to unfold. We obviously have a much better sense for how the process within the Montana Public Service Commission is going to unfold and the application was made back in November. We are fully expecting a determination by the Montana Public Service Commission in Q3. There is to our knowledge that there is a hearing scheduled in July and it’s a process that we understand and have been responding to the Service Commission with. And so they are unrelated processes. We are confident that we will get through the Montana process whether the condemnation concludes before or after that. In some respects it is a little bit irrelevant, obviously to the extent that we own the utility. Clearly we are entitled to and the city is ultimately a success where we entitled to fair and just compensation under the First Amendment of the U.S. Constitution and that has generally have been reasonably interpreted to me in fair market value. So I don’t know if that gives you any color Sean, I will be happy to go on if I haven’t answered your question.
Sean Steuart: No, that’s great context. Thanks Ian, and one other question for now, any updates on the Amherst Island REA process at this point?
Ian Robertson: Sure, we are -- and I think Paul Lechem had mentioned that development project seem to be continually subject to two issues that can push out the COD dates and this one probably is as good an example of that as any. We are optimistic that within the next few months we will be through the REA process right now and consistent with other projects. We I guess fully anticipate and appeal of the issuance of the REA, that’s an appeal process under which appellants can seek recourse against the Ministry of Environment for the issuance of the REA that's typically a six month process. And so just to kind to put that timeframe in context for you Sean, assuming that sometime by the end of Q2 the REA was issued then it would look like that the appeal process would conclude on or before the end of 2015. I don’t know again if that’s kind of helpful for your background.
Sean Steuart: Very much so, thanks Ian.
Ian Robertson: Don’t worry Sean.
Operator: Thank you, your next question will come from Matthew Akman with Scotia Bank. Please go ahead.
Matthew Akman: Thank you very much. I have a couple of questions on the independent review and the delay of the reporting, and first my question is for David to clarify, when you said workplace environment did you say workplace and environment or workplace environment?
David Bronicheski: I said workplace and environment.
Matthew Akman: And, meaning the national environment.
David Bronicheski: No, I mean, I did say that, it should be interpreted as workplace environment.
Matthew Akman: Thank you, I just wanted a clarification. My next question on the topic is really, there is a couple of Board Members speaking here on this call, is the Board content with how this was handled given now how it did play out in the stock in reflection of that and it seems on reflection that there must not have been any a priory basis to think that this complaints had any impact on financial statements?
David Bronicheski: Well, I think the takeaway through this should be that we have really strong corporate governance practices and we have procedures and policies internally that exist to investigate allegations when they are brought forward. And those policies worked to protect the confidentiality of both the individual making the allegation and also internally to protect the individual that is the subject of the allegation. And so I think people should have as the only takeaway that the Board acted appropriately and in accordance with our policies and really have exercised good corporate governance practices.
Matthew Akman: I am just wondering if the Board is satisfied with maybe the legal advice that was provided at the time given now some reflection on the context?
David Bronicheski: I am sure the Board has full confidence in the legal and accounting advice that they received during the investigation.
Matthew Akman: Okay, thanks. Those are my questions.
Operator: [Operator Instructions]. Your next question will come from Mark Vernest with National Bank Financial. Please go ahead.
Mark Vernest: Good morning everybody.
David Bronicheski: Good morning.
Mark Vernest: Looks like the targeted CAPEX, 261 million for 2015 is a little lower than what you highlighted in your Investor Day presentation. Is this mostly due to timing or can we read into this as an increased opportunities for investment?
David Bronicheski: It really is just a matter of timing as we looked at the CAPEX plans and projects. I mean I think it’s reflective of also what you’d seen in the development pipeline vis-à-vis some of the pushing out of the dates due to things sort of beyond our control. So it really is nothing more than that.
Mark Vernest: Okay and then just following up on that, can you remind us again what impact the stronger USD has on your capital deployment decisions?
David Bronicheski: Actually we are -- I’ll say it is almost perfectly hedged from a currency point of view. So we’ve got U.S. dollar debt matched up against U.S. dollar assets to the extent we need debt to finance U.S. CAPEX. We raise that money in U.S. dollars in the U.S. so, it actually -- I think the up and downs of the U.S. dollar doesn’t really factor into our capital deployment plans.
Mark Vernest: Okay, perfect. That’s it for me thanks.
David Bronicheski: Alright, thanks.
Operator: We seem to have no further questions at this time. I’ll turn the call back over to management for any closing comments.
David Bronicheski: Thank you everybody for joining us on the call today. We trust that you remain confident on Algonquin Power & Utilities Corp. We posted a very strong 2014 and look forward to even better results in 2015. Now I’ll turn things over to Kelly.
Kelly Castledine: Certain written and oral statements contained in this call are forward-looking within the meaning of certain securities laws and reflect the views of Algonquin Power & Utilities with respect to future events based upon assumptions relating to among others, the performance of the company’s assets and business financial and regulatory climates in which it operates. These forward-looking statements include among others statements with respect to the expected performance of the company, its future plans, and its dividends to shareholders. These forward-looking statements relate to future events and conditions by their very nature and require us to make assumptions and involvements here and uncertainties. We caution that although we believe our assumptions are reasonable in the circumstances, these risks and uncertainties give rise to the possibility that our actual results may differ materially from the expectations set out in the forward-looking statements. Material risk factors include those presented in the company’s most recent annual financial results, the annual information found in most recent quarterly management discussion and analysis. Given these risks, undue reliance should not be placed on any forward-looking statements. In addition such statements are made based on information available and expectations as of the date of this call and such expectations may change after this date. APUCs reviews materials, forward-looking information that is presented not less frequently then on a quarterly basis. APUC is not obligated to nor does it intend to update or revise any forward-looking statements that are as a result to new information, future developments, or otherwise except as required by law. With respect to non-GAAP financial measures, the terms adjusted net earnings, adjusted earnings before interest tax and depreciation and amortization, adjusted funds from operations, per share cash provided by adjusted funds from operations, per share cash provided by operating activities, net energy sales, net utility sales are collectively financial measures are used on this call and throughout the company’s financial disclosures. The financial measures are not recognized measures under generally accepted accounting principles or GAAP. There are no standardized measure of these financial measures, process on the APUC's method of calculating these measures may differ from methods used by other companies and therefore may not be comparable to similar measures presented by other companies. The calculation and analysis of the financial measures and the description of the use of non-GAAP financial measures can be found in the most recent and published management discussion and analysis available on the company’s website and cedar.com. Per share cash provided by operating activities is not a substitute measure of performance or earnings per share. Amounts represented by per share cash provided by operating activities do not represent amounts available for distribution to shareholders and should be considered in light of various charges and clearance against APUC. Thank you.
Operator: Thank you. Ladies and gentlemen that does conclude our conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.